Operator: Greetings, and welcome to The Chefs' Warehouse Fourth Quarter 2025 Earnings Conference Call. As a reminder, this call is being recorded. I would now like to turn the conference over to your host, Alex Aldous, General Counsel, Corporate Secretary, and Chief Government Relations Officer. Please go ahead.
Alex Aldous: Thank you, Operator. Good morning, everyone. With me on today's call are Christopher Pappas, Founder, Chairman, and CEO, and James Leddy, our CFO. By now, you should have access to our fourth quarter 2025 earnings press release. It can also be found at www.chefswarehouse.com under the Investor Relations section. Throughout the conference call, we will be presenting non-GAAP financial measures including, among others, historical and estimated EBITDA and adjusted EBITDA as well as historical adjusted net income, adjusted earnings per share, adjusted operating expenses, adjusted operating expenses as a percentage of net sales, and as a percentage of gross profit, net debt, net debt leverage, and free cash flow. These measures are not calculated in accordance with GAAP and may be calculated differently in similarly titled non-GAAP financial measures used by other companies. Quantitative reconciliations of our non-GAAP financial measures to their most directly comparable GAAP financial measures appear in today's press release and fourth quarter 2025 earnings presentation. Before we begin our formal remarks, I need to remind everyone part of our discussion today will include forward-looking statements including statements regarding our estimated financial performance. Such forward-looking statements are not guarantees of future performance. And therefore, you should not put undue reliance on them. These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Some of these risks are mentioned in today's release. Others are discussed in our annual report on Form 10-Ks and quarterly reports on Form 10-Q, which are available on the SEC website. Today, we are going to provide a business update and go over our fourth quarter results in detail. For a portion of our discussion this morning, we will refer to a few slides posted on The Chefs' Warehouse website under the Investor Relations section titled Fourth Quarter 2025 Earnings Presentation. Please note that these slides are disclosed at this time for illustration purposes only. Then we will open up the call for questions. With that, I will turn the call over to Christopher Pappas. Chris?
Christopher Pappas: Thank you, Alex, and thank you all for joining our fourth quarter 2025 earnings call. Business activity and demand remained consistently strong through the fourth quarter amidst a healthy environment for our core upscale casual to higher-end dining customer base. Our teams across domestic and international markets provided excellent product and service amidst a busy holiday season. During the quarter, we continued growing market share, closing the year with strong year-over-year organic volume growth, unique item placements, and new customer acquisition. I'd like to thank the entire Chefs' Warehouse team for their dedication and commitment in delivering a strong 2025 for our team members, our customers, supplier partners, and our shareholders. As a reminder, earlier in 2025, we eliminated two non-core programs in Texas that came with the acquisition of Hardee's in 2023. These programs, one protein program focused on high volume, low dollar poultry and another a produce processing and packaging program, together only represented approximately 1% of our full-year revenue. As such, until we lap this attrition in 2026, we will present price and volume metrics as reported and also excluding the impact of these changes to present more representative year-over-year price inflation and volume changes for our business overall. With that, please refer to slide three of the presentation. A few highlights from the fourth quarter include organic net sales grew 9.7%, organic specialty sales were up 6.4% over the prior year which was driven primarily by unique placement growth of 4.2%, reported specialty case growth of 3.3%, and price inflation. Excluding the elimination of the Texas produce process and packaging program, specialty case growth was 5.4% up versus the prior year quarter. Unique customers grew 1.2% year over year. Reported unique customer growth was impacted by the Texas commodity poultry attrition. Excluding this impact, fourth quarter year-over-year unique customer growth was approximately 3.5%. Pounds in the center of the plate were approximately 2.4% lower than the prior year fourth quarter. Excluding the attrition related to the Texas commodity poultry program, center of the plate pounds growth was 7.5% higher than the prior year fourth quarter. Gross profit margins decreased approximately eight basis points. Gross margin in the specialty category increased approximately 45 basis points as compared to 2024 while gross margin in the center of the plate category decreased approximately 50 basis points year over year. Jim will provide more detail on gross profit and margins in a few moments. Now please refer to Slide four for an update on certain of our operating metric improvements. Chart one shows continued improvement in gross profit dollars per route. Fourth quarter 2025 trailing twelve months was 6.2% higher than full year 2024 and 7.4% higher than 2023. Chart two shows fourth quarter 2025 trailing twelve months adjusted EBITDA per employee increased 13% versus full year 2024 and 27% versus 2023. Fourth quarter 2025 trailing twelve months adjusted operating expenses as a percentage of gross profit dollars improved 176 basis points versus full year 2024 and 200 basis points better versus 2023. Before I turn it over to Jim, I'd like to highlight some of the accomplishments our teams across all divisions of The Chefs' Warehouse delivered in 2025. They delivered 9.1% full-year organic revenue growth exceeding $4 billion in revenue for the first time in our history. Approximately 18% increase in adjusted EBITDA growth. Adjusted EBITDA margin of 6.2% and adjusted EPS growth of 29% versus 2024. Strong free cash flow generation. Providing for continued investment in regional growth with the acquisition of Italco Specialty Foods in Colorado. We continued investment in distribution center capacity expansion and facility consolidation. Strengthening our balance sheet with net debt to adjusted EBITDA approaching two times leverage. And the return of cash to shareholders via our share buyback program. Once again, I thank all of our teams across The Chefs' Warehouse for their continued investment in talent, technology, category growth, and operational efficiency. All these areas and many more allow our businesses to continue to provide our growing customer base with the highest quality product and service, supplier partners with market share expansion, and our team members with opportunities for career enhancement. With that, I'll turn it over to Jim to discuss more detailed financial information for the quarter and an update on our liquidity. Jim?
James Leddy: Thank you, Chris, and good morning, everyone. I'll now provide a comparison of our current quarter operating results versus the prior year quarter and provide an update on our balance sheet and liquidity. Please refer to slide five. Our net sales for the quarter ended 12/26/2025 increased 10.5% to $1.143 billion from $1.034 billion in 2024. The growth in net sales was a result of an increase in organic sales of approximately 9.7%, as well as the contribution of sales from acquisitions, which added approximately 0.8% to sales growth for the quarter. Net inflation was 8.3% in the fourth quarter, consisting of 3.4% inflation in our specialty category and 16.1% inflation on our center of plate category versus the prior year quarter. Reported inflation was impacted by two primary factors in the fourth quarter versus the prior year quarter. Center of the plate inflation was impacted by the commodity poultry program attrition in 2025. Excluding this attrition impact, net inflation in the center of the plate was 9.5% versus the reported 16.1%. Continued growth in specialty cross-sell as we further integrate CW and Hardee's causes elevated reported specialty inflation for the fourth quarter. Excluding this impact, specialty inflation was approximately 0.8% and overall inflation for the company was approximately 4.3% versus the prior year quarter. Gross profit increased 10.2% to $276.6 million for 2025, versus $251 million for 2024. Gross profit margins decreased approximately eight basis points to 24.2%. Selling, general, and administrative expenses increased approximately 8.9% to $225.2 million for 2025 from $206.8 million for 2024. The increase was primarily due to higher costs associated with compensation and benefits to support sales growth, higher depreciation driven by facility and fleet investments, and higher self-insurance related costs. Adjusted operating expenses increased 7.4% versus the prior year fourth quarter and as a percentage of net sales, adjusted operating expenses were 17.2% for 2025. Operating income for 2025 was $43 million compared to $46.5 million for 2024. The decrease in operating income was driven primarily by a $10.5 million increase in other operating expenses, which reflects an impairment charge on a non-core customer relationship intangible asset of $8 million partially offset by higher gross profit versus the prior year quarter. Our GAAP net income was $21.7 million or $0.50 per diluted share for 2025 compared to net income of $23.9 million or $0.55 per diluted share for 2024. On a non-GAAP basis, we had adjusted EBITDA of $80.3 million for 2025 compared to $68.2 million for the prior year fourth quarter. Adjusted net income was $29.9 million or $0.68 per diluted share for 2025 compared to $23.9 million or $0.55 per diluted share for the prior year fourth quarter. Turning to the balance sheet and an update on our liquidity. Please refer to Slide six. At the end of the fourth quarter, we had total liquidity of $280.5 million comprised of $121 million in cash and $159.5 million of availability under our ABL facility. Subsequent to the close of 2025, on January 20, 2026, we completed the repricing of our term loan maturing in 2029. The fixed spread above SOFR was reduced from 3% to 2.5%. As of 12/26/2025, total net debt was approximately $529.5 million inclusive of all cash and cash equivalents and net debt to adjusted EBITDA was approximately 2.1 times. Turning to our full-year guidance for 2026, based on current trends in the business, we are providing the full financial guidance as follows. We estimate that net sales for the full year of 2026 will be in the range of $4.35 billion to $4.45 billion, gross profit to be between $1.053 billion and $1.076 billion, and adjusted EBITDA to be between $276 million and $286 million. Please note for the full year of 2026, we expect the convertible notes maturing in 2028 to be dilutive, and therefore, we expect the fully diluted share count to be between approximately 46 million and 46.7 million shares. Thank you. At this point, we'll open up to questions. Operator?
Operator: Thank you. The floor is now open for questions. If you would like to ask a question, please press 1 on your telephone keypad at this time. You may press 2 if you would like to remove your question from the queue. 1 to register a question at this time. Our first question is coming from Mark Carden of UBS. Please go ahead.
Mark Carden: Hi, this is Matt Rothway on for Mark Carden. Thank you for taking our questions. So with the extreme winter weather that we saw in January and early February, how have your year-to-date sales tracked versus your expectations?
Christopher Pappas: Thanks for the question. January was obviously, January is seasonally the slowest or weakest month of the year in the industry. But our January was actually very, very good, very strong. The storm impacted February and it'll be a temporary impact. It really impacted that one week. And February bounced back really nicely.
Mark Carden: Great. Thank you. And then as the follow-up, at the midpoint of your guidance, it implies a flat gross margin for the year. And some healthy operating expense leverage. Can you talk about some of the drivers of that operating expense leverage?
Christopher Pappas: Yeah. You know, if you look at us, we tend to keep gross profit margin fairly flattish when we guide forward versus the prior quarter or the prior year. Because product mix and changes in the category growth at different products through our markets that have various levels of maturity always tend to move margin around. So we will, you know, basically, we're focused on growing gross profit dollars higher than our adjusted OpEx year over year and ideally quarter over quarter and month over month. So that's really the only reason. The range reflects, you know, various levels of volume, product mix changes, and market factors that could change gross profit margin through the year, but we still expect to generate pretty good operating leverage.
Mark Carden: Great. Thank you.
Christopher Pappas: Thank you.
Operator: Thank you. The next question is coming from Alex Slagle of Jefferies. Please go ahead.
Alex Slagle: Thanks. Good morning.
Christopher Pappas: Morning.
Alex Slagle: Congrats on 2025. It's certainly a year of uncertainties with the tariffs and commodity volatility shopping consumer. So I guess just stepping back as you look ahead, I mean, what do you think are gonna be some of the bigger challenges or uncertainties to overcome in 2026 if you had to sort of rank what keeps you up at night or might impact your business more than others?
Christopher Pappas: Yeah. Well, I mean, besides the storm that hit us, what we saw, as Jim said, you know, we had a really strong January, and you know, besides the storm, the next follow after the storm, February was really strong. So I mean, we're seeing our customers doing really well. You know, the continued growth, you know, the numbers we saw from hotels coming out, you know, strong bookings. They had a good season. So as always, Alex, I mean, we're cautiously optimistic. I mean, you know, after COVID, you know, nothing seems like, you know, an insurmountable headwind to deal with. So, you know, some inflation, deflation, some, you know, tariff noise. You know, our folks again is, you know, upscale casual to, you know, the finest dining in the world. You know, from our collection of customer base, you know? So we're so diversified now that I think we have a really good balance, you know, to, you know, to have, you know, more and more customers and we're cautiously optimistic. You know? I mean, the little tariff noise, a little of this, you know, our diversified portfolio, you know, thousands of suppliers from over 45 countries. I think gives us a really good base that at least we sleep with one eye closed. So hopefully that answers your question.
Alex Slagle: Yep. Got it. As a follow-up, wonder if you could talk about capital allocation priorities kind of buyback to bid pretty measured, and the debt leverage now at the lower end of your target range, looks like another strong year of free cash flow generation that you're looking for. Just how much are you focused on, like, keeping dry powder for potential acquisitions? Or you know, what's the thought process heading into '26?
James Leddy: Alex, I think you put it really nicely. All of the above. I think, you know, we definitely wanna keep dry powder to take advantage of some acquired growth that could be accretive and strategic. We definitely wanna continue to strengthen the balance sheet gradually. And we expect to continue to return some cash to shareholders opportunistically. We don't have a scheduled program in place or an ASR or anything like that. So we do it, you know, when we can and when the market provides a good opportunity to. So I just think we're gonna continue on the path that we've been for right now until something would change that.
Alex Slagle: Okay. Thanks for the color.
Christopher Pappas: Thank you.
Operator: Thank you. The next question is coming from Brian Harbour of Morgan Stanley.
Brian Harbour: Thanks. Morning, guys. Maybe just on that point quickly, Jim. I mean, you are down to two times levered. Do you think that or I guess, you know, within your guidance, do you think that there would be more buyback this year, for example?
James Leddy: Yeah. I mean, there definitely could be. But once again, we look at it opportunistically. We take a look at what's the return estimate on share buyback versus doing an acquisition that, you know, has presented itself and could be a possibility versus continuing to delever. And as we delever, we put us in an even better position to take advantage of market opportunities. So I think, you know, I don't think we're gonna send a message today that we're gonna drastically increase our buyback. We do have to get the renewal of our program in place. And we'll do that, at our board meeting, coming up. We expect to. So, yeah, more to come on that.
Brian Harbour: Okay. And, as you, you know, think about your guidance for this year, I guess, is there any, you know, notable shape you'd call out to kind of the sales growth cadence or the margin cadence? I know you'll, you know, lap some of those business exits in 2Q. Could you sort of just talk about how you've kind of thought about that? Also maybe how inflation factors into that if you expect that to be sort of steady through the year or fading perhaps?
James Leddy: Yeah. Yeah. Thanks for the question. No. I think the guidance is pretty consistent with what we've done historically. You know, we tend to, I think, be a little conservative. You know, we're coming off a very strong 2025. I think we feel pretty good about '26. But, you know, the guidance implies, you know, year-over-year revenue growth of between six to 8%. That's the higher end and even a little bit higher than our long-term algorithm that we put out to 2028. Obviously, we had, you know, higher growth in '25, but, you know, we tend to add a little bit of risk adjustment. We just think that that's prudent. In terms of inflation, we assume, you know, kind of a normal level of, you know, kind of call it two to 4% and the remainder, you know, being product mix changes and volume growth. And we'll adapt and adjust that as we pace through the year. But, you know, being just through 2026, we tend to not adjust the guidance significantly.
Operator: Thank you. The next question is coming from Peter Saleh of BTIG.
Peter Saleh: Great. Thanks and congrats on a great quarter. I was hoping you guys could comment a little bit on any regional variances and performance that you're seeing, any notable call outs particularly in, you know, your large growth markets, you know, California, Texas, Florida, anything to note there?
Christopher Pappas: Yeah. It's, you know, Peter, I really don't have any bad news. I mean, it was a great quarter. The team did a great job. You know, they're really focused. Again, you know, we've built some new facilities, and we're getting great returns on them. We continue to hire more and more salespeople, you know, in those markets that we see a lot of growth opportunity. We continue to hire into our digital team, right, to reinforce, you know, our presence online where a lot of our customers are going and more and more orders are coming through and we're able to communicate with the customer between our outside sales force, our inside sales support, and our digital presence. I think you see that, you know, our strategy is working. Right? We're able to sell more items to more customers. That's our job. And as we get better and better, you know, I call it a family of companies from our protein division to our fresh produce division to our specialty. It's all working, you know, I think, as planned. And, you know, the goal for 2026 is to keep getting better and better at that and to keep increasing our share of wallet. And keep taking market share and winning, you know, new customer openings. And expanding our territory. So, it's a playbook that, you know, we put in place. As we continue to get more and more synergies, you know, more products on the same trucks, I think you're seeing the results.
Peter Saleh: Great. And anything you can comment on the Middle East business? I know that business has been rather strong past, you know, several quarters, year or so. Any update you can provide on that trajectory as well?
Christopher Pappas: Yeah. So, again, we've made large investments there. We've had a lot of the CapEx cost from last year, you know, is done. And the business continues to perform. We think the region will continue to grow. You know? I actually just did a trip out there and was very pleased with what I saw. You know, strong management team. Continue to expand the sales force. And, we see a very, very long road of positive growth. So it's an exciting territory for us.
Peter Saleh: Thank you very much.
Christopher Pappas: Thanks, Pete.
Operator: Thank you. The next question is coming from Margaret-May Binshtok of Wolfe Research.
Margaret-May Binshtok: Hey, guys. Thanks for taking my question. I just wanted to ask, I know you guys have talked a little bit about AI deployment with the opportunities for dynamic pricing, some customer behavior analysis. I just wanna know going into '26, how do you expect, I guess, the ramp of some of these potential initiatives? And, I guess, like, what inning are we in in terms of, you know, realizing some of the benefits here?
Christopher Pappas: Yeah. And, you know, you know, that's a great question. And, you know, we've used AI. We used to just not call it AI. So we've had a lot of, you know, focus on improving, you know, the insights into our customer behavior. And, you know, the way we look at all our business and, you know, continue to improve our functions and our capabilities and efficiencies. So it's, I think it's ingrained now into our daily lives. You know, those departments, you know, report in and we continue to measure, you know, the information we get. You know, sometimes it's overload. You know, at the end of the day, we can only, you know, look at a customer and speak to a customer so much. You know? I think they have the same tools now looking at their business, but it's, I would say, what inning are we in? I think we're always back at inning one. You know, because the technology just continues to evolve. You know? It's how do we use the information, and at a certain point, it's, you know, my speech is to when I'm addressing our sales teams is you have the information. Use the technology. It's improving your life. Your quality of life too. It's doing a lot of the work that you used to have to spend hours and hours, you know, doing your own summary reports and research. And utilize that time to go see more customers and sell more items. And I don't think that's ever gonna change.
Margaret-May Binshtok: Awesome. Thanks, Chris. And just a follow-up. Jim, I think previously, you had kinda described the M&A environment as being frothy. I just wanted to know heading into 2026, would you say you have, like, a similar comment?
James Leddy: I don't think anything's changed in terms of the market or outlook on M&A. As Chris often says, he has a pile of opportunities on his desk really consistently. We're just being very, you know, cautious and looking for the right opportunities. I know, Chris, there's anything you wanna add around M&A.
Christopher Pappas: Yeah. You know, I mean, we're in such a great spot right now that, you know, we've done so much M&A. And, you know, when your organic growth, you know, can be, you know, my goal is always to try to hit 10%. You know, things have to make a lot more sense now than when we were trying to grab new territory or build categories. So cautiously optimistic that, you know, we will get some really good M&A deals that are synergistic and give us something that we're missing or enhance the territory. You know, always say that a good fold-in, I would do it every week because they're low risk and they just supercharge our organic growth in most cases. So we're constantly looking and constantly speaking to a lot of people that, I am sure there'll be some really good M&A, but I really love where we're sitting right now. And, it has to be something that makes great sense. So, you know, we continue to talk, and I think there'll be some good deals done. But right now, we're really happy where we sit.
Margaret-May Binshtok: Thanks, guys.
James Leddy: Thank you.
Operator: The next question is coming from Kelly Bania of BMO Capital Markets. Please go ahead.
Kelly Bania: Hi. Good morning, and congrats also on a strong year and a strong finish to the year. Was curious as you kind of think about your 2026 guidance outlook, just how much new market investment is built into there? And maybe you can just kind of fold in with that just an update on Italco and if Denver is, you know, in a market that is going to, you know, get some more investment or what are the priority investment regions for this coming year?
Christopher Pappas: Yes. Well, thanks, Kelly. Obviously, we've made a lot of investments in a lot of territories, from The Middle East to California, to Portland, Oregon to Florida. So we're expecting to continue to get an ROI on all those investments, and we are. You know? The team is doing an unbelievable job and, you know, you're seeing the results. You know, Colorado is a long-term investment. You know, we're getting ready to move that business into a much bigger facility and really, you know, go after that market. So, we're really excited about that, but, you know, we're in the really early innings. You know? I would say Texas is the investments that we're continuing to make. You know, we have to synergize a lot of those businesses. You know, we have multiple warehouses and we're probably in the second inning of that business. It continues to grow, continues to do well. It continues to be profitable. So I think that's a big, big opportunity. You know, as we continue to chefesize, you know, the businesses that we bought in Texas. But, you know, what's driving, you know, what's driving a lot of the, you know, positive momentum that you're seeing is, you know, is Florida. Is New York, it's California, you know? Chicago's doing really well. So we really don't have any, you know, too many, you know, spots that we're, you know, at that beginning where we're just getting our arms around it. We still have to synergize New England. We have to synergize what we do in the Mid-Atlantic. And we're looking at even New York where, like, you know, so successful. How do we double that? Right? So I think we continue to invest in all our businesses, and what we're seeing now is, you know, the opportunities yet. We still have to go into the South. Right? We're small in Tennessee. Tiny in The Carolinas. Connect the dots from Florida all the way up to Virginia. You know, to make sure that, you know, we are able to service all our customers who are growing nationally. And look for opportunities overseas. We see the success we have in The Middle East, and we think that, you know, we can have success. We think the chef model works in more and more places. So we're, you know, keeping our eyes open and the phone lines going.
Kelly Bania: Thank you. That's helpful. And just in terms of the Salesforce, are you able to share just a figure on what you're targeting for headcount? Or maybe you're not targeting. Maybe that's more kind of a bottoms-up culmination of the different markets. But just kind of wondering how that looks in '26 versus '25?
Christopher Pappas: I think the strategy is the same. If you find really, really good people, hire them. You know? It's a, you know, they're hard to find, you know, and it takes time to develop somebody into someone that could sell the chef book. Right? You know, we're selling to the best chefs in the world. So you gotta be knowledgeable when you do go out or knowledgeable when you're on the phone, and that takes time. So, you know, job one is to make sure that, you know, great people stay. Often say that I think, you know, once you get past, you know, year two or three, a lot of people are here for, you know, I don't wanna say for the rest of their lives, but it's, you know, one of the best jobs you can get in the food industry. Right? You're talking to great chefs. You're around great ingredients. You're talking to great farmers. So, you know, people that enjoy that environment, it's a great place to be, and they rarely leave. So The Chefs' Warehouse is hiring. If we could find, you know, if you're great, we wanna hire you. So, we go as fast, you know, we're hiring as fast as possible.
Kelly Bania: Thank you.
Christopher Pappas: Thanks.
Operator: Thank you. The next question is coming from Todd Brooks of Benchmark Stonix. Please go ahead.
Todd Brooks: Hey, good morning, and I'll add my congratulations on a really great year. So thank you, sir. Couple questions. If I look at the kind of the KPI chart in the deck around the gross profit dollars per route and the adjusted EBITDA per employee. What strikes me as kind of the consistent improvement you've seen annually over the two-year basis that you present as you start to look forward are we far enough into the wave of some of the bigger facility consolidations that maybe should we be thinking about that same level of contribution from a gross profit per route standpoint? Or is that something that just moderates as some of these bigger investments in Southern California and Florida mature over time. And then the rate of average EBITDA per employee improvement, how much of that is facility related versus technology? Versus scale?
James Leddy: It's a good question, Todd. It's a powerful. Yeah. But I think I'll let Chris, you know, add. I'll just say that in terms of the go forward, it's really gonna align with our execution against our guidance. If we continue to execute, you know, with operating leverage of, you know, 150 to 200 basis points, a year, kind of in the range that we delivered the last two years. You know, then you'll continue to see those metrics improve. I think Chris mentioned we're in the early innings in terms of a lot of the investments that we made in facility expansion, facility consolidations, most of those are in the last two years. As we came out of COVID and we started to leverage those. So I think we're in the early innings. We're gonna continue to improve on those metrics. We still have some more, gonna consolidate our specialty facilities in Portland this year. We'll be working on the expansion of our Las Vegas Processing Center. We're expanding freezers in a number of markets. So we're continuing to, you know, Chris talked about Denver. And what we have to do in some of the other markets like New England. So we're gonna continue to have a moderate pace of investments that involve not only route consolidation, facility consolidations, as well as expansion for growth. So I think those metrics will continue to improve.
Christopher Pappas: Yeah. I don't think there's a ceiling, Todd, you know, to, you know, how much better we can get and how much more to the bottom line, you know, percentage-wise we can deliver. I think we're realizing, you know, when we went public, in 2011, we had a mountain to climb. Right? You know, trying to open up new facilities, buy companies, put technology in, you know, we had tremendous headwind, you know, in trying to deliver on the numbers, I think, and the expectations. But, you know, we stayed true to our strategy and the course. In the belief that, you know, what we do and, you know, building moats around our model at a certain point, we would start to get that leverage. And I think, we're starting to see, you know, we're delivering on our expectations that incrementally we would get better year in. You know, and keep, you know, that EBITDA margin would continue to improve. You know? So, obviously, we wanna be competitive. We don't wanna slow growth down by pushing it, you know, too high. You know, we're really comfortable where we are right now, but we still have a good road of synergistic improvement as, you know, we consolidate facilities as, you know, we consolidate Salesforce. You know, more and more, you know, technology goes in and gives us that, that efficiency, right, to scale more efficiently. So, we're really excited about the possibilities of how much better we can get.
Todd Brooks: That's great. Thank you both. And then just one more quick one, and I'll hop back in queue. You're talking to your customers, Chris, are you seeing it seems like the consumer and it feels maybe beyond fattish at this point. There's focus around protein consumption and the whole kind of food pyramid and how people are eating. Are you seeing menus change? Or I'm just trying to think within the concept of the center of the plate protein part of the business. Are menus maybe coming your way to kind of drive that piece of the business in '26 with more proteins focused on your client's menus? Thanks.
Christopher Pappas: Yeah. I think the right way to look at it is, you know, you've had so many fads and so many, you know, it's always about, you know, how's the shot affecting the business, how is the, you know, you know, we went through that. Everybody was gonna become a vegan. Everyone's gluten-free. Everybody is, now high protein. What I think it's just normalizing. You know, you have great options now on most menus. If you're a vegetarian, you have great options. You don't have to go to a vegetarian restaurant. You know? I'm out just about every day. And if I don't really feel like eating a high animal fat protein dinner, there's great options on the menu. You know, to satisfy you. If you want a steak, most menus have a great steak or a great piece of fish or chicken. You know, we sell to great Indian type restaurants and great Asian type restaurants. So I think that, you know, chefs are very creative and restaurants are very entrepreneurial. And I think you're starting to see that blend in menus that can, you know, if you're a party of four, everybody can get what they want. And I think it's really evolved in a very positive way, and I think a lot of that the chef's warehouse, the way we go to market, and our portfolio of ingredients, and the way we, you know, come in with all our experts and that team sell, I'm very excited. You know, of what I'm seeing and, you know, the growth. And I think we, you know, can keep that up for many, many years.
Todd Brooks: That's great. Thanks, Chris.
Operator: Thank you. At this time, I'd like to turn the floor back over to Mr. Pappas for closing comments.
Christopher Pappas: Sure. Well, we thank everybody for joining our first quarter call. Really proud of what our team was able to accomplish in '25 and in the fourth quarter. And, you know, besides, mother nature giving us some challenges, we are really excited about what we saw in January and continue to see in February. And I think our team is just doing an unbelievable job and we look forward to having a great year. And thank everybody for joining today's call, and look forward to our next call. Thank you.
Operator: Ladies and gentlemen, this concludes today's event. You may disconnect your lines or log off the webcast at this time. And enjoy the rest of your day.